Operator: Good day, and thank you for standing by. Welcome to Universal Electronics Fourth Quarter 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Kirsten Chapman, LHA Investor Relations, a division of Alliance Advisors. Please go ahead.
Kirsten Chapman: Thank you, Amy, and thank you all for joining us for the Universal Electronics 2023 Fourth Quarter and Year-End Financial Results Conference Call. By now, you should have received a copy of the press release. If you have not, please contact LHA at 415-433-3777 or visit the Investor Relations section of the website. This call is being broadcast live over the Internet. A webcast replay of this call, including any additional updated material non-public information that might be discussed during this call will be available at the company's website at uei.com for at least one year. During this call, management may make forward-looking statements regarding future events and future financial performance of the company and cautions you that these statements are just projections and actual results may differ materially from those projected. These statements include the company's ability to timely develop and deliver new technologies and technology updates and related products introduced at this year's consumer look product show, including new products and technologies in climate control, smart home and security spaces, continuing to achieve new product development and design, near and longer term successes as anticipated by management in the connected home space and particularly in the climate control market. The continued successful collaboration with existing and new customers in developing and launching next-generation products, software solutions and technologies into existing and new markets, which result in increased sales and share growth in new markets for the company; management's ability to continue to manage its business inventories and cash flows to achieve its net sales margins and earnings through financial discipline and cost-saving initiatives, operational efficiency, liquidity requirements, factory optimization strategy, R&D spend, product line and business management and other investment spending expectations, including our ability to execute on our stock repurchase programs; the company's continued ability to enforce its patented technology against review; the decline of the traditional subscription broadcasting business dissipating as management anticipated, the continued fluctuation in the company's market capitalization and the direct and indirect impact that the company may experience with respect to its business and financial results stemming from the continued economic uncertainty affecting consumers' confidence in spending natural disasters, public health crisis, government actions or political unrest, including war, terrorist activities or other hostilities. The company undertakes no obligation to revise or update these statements to reflect events or circumstances that may arise after today's date and refers you to the press release mentioned at the onset of this call and the documents the company has filed with the SEC, including its 2022 annual report on Form 10-K and the periodic reports filed were furnished since then. In management's financial remarks, adjusted non-GAAP metrics will be referenced. Management provides adjusted non-GAAP metrics because it uses them for budgeting, planning purposes and for making operational and financial decisions and believes that providing these non-GAAP financial measures to investors as a supplement to GAAP financial measures help investors evaluate UEI's core operating and financial performance and business trends consistent with how management evaluates such performance and trends. In addition, management believes these measures facilitate comparisons with the core operating and financial results and business trends of competitors and other companies. A full description and reconciliation of these adjusted non-GAAP measures versus GAAP are included in the company's press release issued today. On the call today are Chairman and Chief Executive Officer, Paul Arling, who will deliver an overview; and Chief Financial Officer, Bryan Hackworth, who will summarize the financials. Paul will then return to provide closing remarks. It is now my pleasure to introduce Paul Arling. Please go ahead, Paul.
Paul Arling: Thank you for joining us today. Our vision to connect the home and our mission to create smarter living are coming to fruition. We are building for a better future and made significant progress transforming UEI during 2023. We continued our product expansion into the growing climate control and home automation markets. We executed footprint optimization, efficiency and corporate restructuring initiatives and recent public events, such as the affirmation of our patents, and our powerful CES 2024 showcase, combined with ongoing customer wins, have fortified our foundation to drive growth. Based on our improved foundation, our continued streamlining and our outlook in customer and product shipment projections, we expect to be profitable for the full year of 2024. Confident in our strategy and long-term growth, we initiated a stock repurchase program in the fourth quarter, which we plan to continue in 2024. Bryan will review in greater detail our financial results, our progress in our footprint optimization and efficiency initiatives and our 2024 outlook. Now I'd like to discuss our patents, our products and our customers. At UEI, we pride ourselves in providing the most innovative, highest level of quality products. Over the past 30 years, we have amassed over 500 issued patents with over 200 more pending, which create significant differentiation in the features and capabilities we offer our customers compared to our competitors as evidenced by our strong and sustained gross margin delivery over the many years. We provide customers with advanced wireless control through finished goods, embedded technology and licenses for software and services. It is important to note that most of the leading home entertainment companies in the world have chosen to partner with us on these advanced solutions. When non-customers use our technology, we act. Our first path to compensation is licensing. If an agreement is not achieved, we vigorously protect our intellectual property. As we have communicated before, we have been in litigation regarding patent issues with Roku for quite a few years. Last month, the U.S. Court of Appeals for the Federal Circuit affirmed a prior ruling by the U.S. International Trade Commission confirming Roku's infringement of one of our QuickSet patents. This decision will support strongly our return to the U.S. District Court to request the case be reviewed for monetary damages regarding the infringing activities of Roku and its TV partners. We are confident in our position and look forward to moving ahead with the case to its positive conclusion. Also in January, we had a productive week at CES, which provides a once in a year industry opportunity to connect with customers, expand our business partnerships and capture new opportunities. We demonstrated our latest products and technologies across all our business lines to a worldwide audience of customers, prospects and business partners. I'll review some of our CES product highlights. This year CES had the largest in-person presence since 2020, pre-COVID. At this show, we hosted over 340 visitors to our booth representing over 200 different companies. A third of those meetings were with new potential customers that we do not currently do business with. A testament to the strength of our overall product and technology offering. Continuing our expansion into the climate control space, we expanded our UEI tied portfolio of smart thermostats, with the addition of four new products to our product road map as well as two new HVAC system accessories designed to simplify and extend climate control installation and functionality. Our lineup now includes a wireless bridge that allows for portability of the thermostat controllers anywhere in the home, a bridge with a built-in Zigbee and Matter capabilities for whole home control, indoor air quality sensor integration with built-in control of in room air purifiers, compatibility with the UEI supplied smart thermostatic radiator vowel accessory for European households and a C-Wire adapter for easy installation of low-voltage thermostats in older homes. Our customers are quite interested in these solutions as they improve the performance of existing systems in new ways as well as create new systems that are more integral to the smart home. We also unveiled the full capabilities of our QuickSet widget and Nevo software running on a wireless UEI type platform. This product delivers a complete climate control and smart home controlled dashboard. It also enables unique control experiences between different brands and device categories without the need for an additional hub, all from the same tide thermostat control interface. We showcased our family of UEI Butler smart control hubs powered by UEI's QuickSet, complemented by UEI's Zigbee sensors and accessories that deliver a tailored experience for increased interoperability with diverse brands and ecosystems for the smart home. As reviewed on recent calls, we have been growing the number of customers as well as increasing our level of engagement with them, especially in home automation, climate control and security. During Q4, in our Hash channel, which is home automation, security and hospitality. We were awarded a new project for a smart door lock and added three new channel partners for our Tide Climate Control products in the multi-dwelling unit, energy and utilities and custom integration space. We were also awarded two new product design wins for an existing Motorized Shade customer and secured a new product win with a major DIY home security customer. We expect some of these products to begin shipping in late 2024 and into 2025. In the HVAC OEM channel, we are actively working on three new products for Daikin, our largest HVAC OEM customer. Two are targeted at the European market and the other is bringing connectivity to their existing footprint of HVAC systems worldwide. In addition, we have product and technology design proposals active at five other major HVAC OEM brands, leveraging the design, features and architecture currently deployed in our Tide Climate Control products. In home entertainment, we are seeing a slight uptick in new product engagements with major customers in North America, EMEA and India. While the volumes on these new product opportunities are not huge, the shorter development cycles relative to new smart thermostat developments offer potential near-term revenue in the back half of 2024. Based on the growing backlog of active new product developments, we continue to be optimistic about our long-term revenue potential as these new products are introduced and begin to ramp. Now to the financials, Bryan, please go ahead.
Bryan Hackworth: Thank you, Paul. First, I'll review the results for the fourth quarter of 2023 compared to the fourth quarter of 2022. Net sales were $97.6 million within guidance. This compares to $122.8 million for the fourth quarter of 2022, reflecting core cutting in the video service channel in an environment where households are spending less on discretionary goods. Gross profit for the fourth quarter of 2023 was $29.5 million or 30.2% of sales compared to 30.7% in the fourth quarter of 2022. Our gross margin rate exceeding 30 points is a result of a more optimized factory footprint, a favorable product mix and a strong U.S. dollar. I'll now take a moment to provide an update on our factory optimization plan. As mentioned on the previous call, we closed our Southwestern China factory in September. After having gained confidence, our newly formed Vietnam facility was operating at the required level of efficiency. We're pleased with the progress our Vietnam factory has made to date, that has met or exceeded our expectations and we expect additional operating efficiencies to be achieved as it continues to scale. We're now executing the third phase of our plan, streamlining our operations in Monterrey, Mexico. We're on target to commence operations in the second quarter of 2024 in a smaller, more efficient facility that will supply product for certain North American customers. As we evolve as a company, we will continue to analyze our global footprint and identify ways to operate more efficiently. For the fourth quarter 2023, operating expenses were $27.6 million compared to $29.4 million in the fourth quarter of 2022, reflecting the execution of our cost savings initiatives. SG&A expenses were reduced to $21.1 million compared to $21.7 million in the prior year quarter. R&D expenses were $6.5 million compared to $7.7 million in the prior year's quarter. Operating income was $1.8 million compared to $8.3 million in the fourth quarter of 2022. Our fourth quarter 2023 effective tax rate was 23% compared to 27.3% for the fourth quarter of 2022. Earnings per diluted share were $0.07 for the fourth quarter of 2023, compared to $0.44 in the fourth quarter of 2022. Next, I'll view our cash flow and balance sheet. At December 31, 2023, cash and cash equivalents were $42.8 million compared to $66.7 million at December 31, 2022. For full-year 2023, cash flows provided by operating activities were $25.2 million. With interest rates at an elevated level, we repatriated foreign earnings, enabling us to reduce our outstanding debt from $88 million at December 31, 2022 to $55 million at December 31, 2023. We also repurchased 100,000 shares in the open market in the fourth quarter for approximately $860,000 and plan to buy back additional shares in the first quarter of 2024. Now turning to our guidance. UEI continues to evolve as a company. While we remain committed to developing innovative solutions in the home entertainment space, in recent years, we've increased our focus in growth areas such as climate control and home automation. Paul mentioned several project wins in these channels with launches scheduled throughout the latter half of 2024 and 2025. We believe these project wins in the Connected Home channel, coupled with a more efficient factory footprint, will result in earnings growth and full year profitability. For the first quarter of 2024, we expect sales to range from $86 million to $96 million, compared to $108.4 million in the first quarter of 2023. We expect loss per share to range from $0.27 to $0.17 compared to a loss of $0.28 per share in the first quarter of 2023. I would now like to turn the call back to Paul.
Paul Arling: Thanks, Bryan. As you know, our business has been greatly affected by cable and satellite operators purchasing far less volume than in prior periods. This yields two important questions: When does the subscription broadcasting market begin to stabilize? And when do the connected home channels produce sufficient revenue growth to offset any remaining weakness? While we will not venture to forecast the precise occurrence of either of these developments, we are confident that the actions we have taken in all areas of the business, cost management and, most importantly, product and customer development, will yield sales and profitability improvements. We believe that the decline of our traditional subscription broadcasting business is gradually dissipating. We expect in 2024, the level of slowdown to be at its lowest level in four years. While some customers continue to be light, new projects in hybrid and streaming services are providing an offset. As we have highlighted before, over the past two years, we have shifted our product and customer development focus towards connected home markets. Projects that we won last year and frankly, the year before, are finalizing development and test this year, and we expect to begin enjoying revenue from these projects as this year progresses. We have secured tangible wins that see growth in the second half of 2024 and into '25, '26 and beyond. We are adding new customers and new product design wins every quarter. In addition, we are working with customers to secure long-term future business in these new product categories and our pipeline of new project opportunities, just counting the connected home space, exceeds $200 million in potential annualized revenue. Just as our ability to layer new customer and new product design wins helped us achieve dominance in home entertainment control, we are replicating this approach to achieve long-term success in these new markets. Bottom line is that our innovative products and technology solutions are driving our ability to capture new customers and design wins, which is helping to create new revenue streams. Our long-term opportunities are plentiful. Confident in this growth strategy and our long-term success, we are investing in our future. As always, stay tuned. Operator, we can now open up the call for questions.
Operator: [Operator Instructions] And our first question comes from Steven Frankel with Rosenblatt Securities.
Steven Frankel: These insights are really helpful. But maybe first, let's start with the guidance and the numbers. You did institute some cost savings, but is that fully reflected in Q4? Or should we expect OpEx to come down a little more as we go through 2024?
Bryan Hackworth: Most of it's incorporate, Steve. The OpEx component, if you look at the 2023 total OpEx versus 2022, it came down by about $5 million. So a lot of what we plan to execute, we actually executed in 2023. Now there is a little more that will carry over to 2024, but the team did a good job from an operating expense perspective, and we executed pretty quickly in the last fiscal year.
Steven Frankel: Okay. And so that implies some gross margin pressure in Q1. Would you expect gross margins to bounce back as these new products shipped in the back half of the year?
Bryan Hackworth: Yes. When you say gross margin pressure, I mean, I think the gross margin is a good story. I think we -- the operations team has done a great job in executing that as well. So as I said in the prepared remarks, we spun up Vietnam in June. That went well. So we were able to shut down GTQ ahead of schedule. And now the last way is to shut down or to streamline Mexico, which we expect to occur in the second quarter. Now gross margins for the fourth quarter were 30.2%. And as you know, a pro forma, some of the anticipated savings from the factory is related to the unabsorbed overhead. But I've been pretty conservative. So one of the reasons the margins crept up is because the team has done a great job executing and the amount that the actual savings being incurred are greater than the amount that I pro forma. So -- and I expect a little bit of the same -- potentially in -- for Mexico, where, again, I'm being a bit conservative. So I actually think there's potential on that same -- there's a lot of variables that go into gross margins. So I'm not saying raise the gross margin rate, but I actually think there's a little bit of maybe upside related to Mexico. But there are a lot of variables that go into the gross margin rate. As you know, FX, et cetera, right now, we have a strong U.S. dollar. Hopefully, that continues, but there are a lot of variables.
Steven Frankel: Okay. And then while I have the floor for a couple of more questions, significant customers in Q4?
Bryan Hackworth: Daikin, 10.7%.
Steven Frankel: And then Paul, kind of where do you think the mix of the business is today roughly between this new world, home control security, hospitality and the traditional CE business?
Paul Arling: Yes. Well, it's still majority home entertainment with consumer electronics, everything having to do with home entertainment would still be the majority, but we do see that changing as time goes on. I don't know if it will quite get there this year, but it's clear that the markets for -- well, the HVAC market alone, not even including anything having to do with home automation, security, hospitality. That market alone is larger than the home entertainment market. So as time goes on, our success there -- many years ago, our share in home entertainment was 4%. Later in some parts of the year, it was near 100%. We see the same runway here. There's a lot of products out there that you need to control your home. We think there are many ways to improve them, to have them become more like home entertainment controls, which in the early days were dedicated and didn't do much, but turn your TV on and change the channel. We made them much more advanced, 2-way, self-configuring. So there's a lot of innovation to come in this area, and we think we're leading it. We're showing customers at these trade shows, many of the things I mentioned in the prepared remarks. They're quite impressed. They're looking for solutions to become more integral to the smart home and to improve the systems that are already in the home. And we've taken a new approach on this and are bringing them new protocol, new design, new capabilities to these products that they're quite interested in. So we're racking up the wins now, just like we did in home entertainment, those many years ago. And as we build those relationships, we see that being a much bigger business. Long-winded way of saying this connected home area will one day be the majority of our business. Home entertainment is still a good market. Subscription broadcasting, not so much. That one has shrunk to a point where I don't think it returns to its prior glory. However, Home Entertainment is still an integral part of our business. People are watching less television. And so there's a lot of activity there. But I think the majority of revenue will come from these connected home customers.
Steven Frankel: Okay. And then on HVAC, you've talked a while the last couple of quarters about a major North American win. Is that still on track for shipment this year? And the other factoid you've talked about is you had a large number of the top 10 players in the -- around the globe. So maybe if you could update us on how many of those companies you have designed with wins today?
Paul Arling: There are good sized projects that are coming. Many projects we do are smaller, always have been, even in home entertainment. But there are large ones out there that help more. There is one this year, that's above average size that we expect to ship in the probably Q3 around that time frame. There are more projects, as I alluded to, there's more than $200 million, it's closer to $230 million in the pipeline. We haven't won the projects yet, but there's that much potential. In that $230 million, there's a few projects even bigger than the one I just mentioned. So a lot of potential out there in this arena, and we're winning projects here at a pretty good clip, racking them up just like again, we did years ago in home entertainment. So our share will increase. We'll continue to improve the products because it's a tireless effort, just like it was in home entertainment. And as we improve the functionality of these products, it makes it easier. It's never easy, but it makes it easier to sell these customers on these projects.
Operator: Our next question comes from the line of Greg Burns with Sidoti.
Greg Burns: Bryan, I just want to circle back on the first question around the first quarter guidance. Can you just bridge us to -- the high end of the revenue range is right around where you were for the fourth quarter, but you're still projecting at a minimum, a loss of $0.17, and you're at $0.07 of earnings in the fourth quarter. Can you just bridge us between the disconnect there? Like, is the gross margin taking a big step back in the first quarter or some expenses that are coming online?
Bryan Hackworth: Yes. If you're comparing Q1 2024 versus Q4 2023, operating expenses will be a little higher sequentially because in Q1, you've got CES, you've got wage increases, merit increases, and then you've got fringe rate benefits that reset, things of that nature. So Q1 '24 versus Q4 '23 will increase. That might be part of the gap you're looking at.
Greg Burns: Okay. And then that first quarter is kind of a good run rate to build the rest of the year off of them?
Bryan Hackworth: Not necessarily. I think Q1 is going to be a little high because of the reasons I just mentioned.
Greg Burns: Okay. And then in terms of Roku, is that -- is the monetary settlement to you potentially for -- is it back damages for products that are in the market? Are they still currently infringing? Like, how should we consider the potential magnitude of the settlement for you?
Paul Arling: Yes. Well, the answer is they've long been infringing these patents. They would, of course, probably state differently. Although the ITC would disagree with that. They were found to have infringed. So yes, and there is obviously a fair amount, a good deal of prior infringement, right, because they've been infringing these patents for years which is what we will argue in the case. And we feel that our arguments right now to unstay this case are really quite strong. And we -- you know this day will come where a case can't be stayed forever. We think that there are good arguments to say this case should be unstayed now, and we can have our day in court to argue their infringement of these patents.
Greg Burns: Do you have an estimate of how many devices are in the market that infringe on your patents? Is it their streaming devices? Is it their TVs? Like if you have a sense of what the number is?
Paul Arling: It's both, and I don't have that number because, again, I don't know that they disclose unit volumes, but -- as you'd imagine, it's quite a few. We presume millions, tens of millions over that time frame. I don't have the exact number on that, though, and I couldn't disclose it anyway. I don't know our volumes are, but people could do their own math on how many they've sold over the last many years. It's a lot of units. Let's just put it that way. And again, it's all their product categories. Their controller, their sticks, their boxes, their televisions.
Greg Burns: Okay. Are current or new products still currently infringing? Or have they worked around your patents?
Paul Arling: Well, that's a good question. There are many patents in this lawsuit. So I can't go through each patent. Some of the patents would apply not to the televisions but only to the set-top boxes, et cetera. So it's a little bit more complex than just saying that all of them violate all. But again, if you violated the IP at any point, you're liable for damages.
Greg Burns: Okay. And then the $200-plus million pipeline. I think last quarter, you had also set a number, I think it was $80 million around what you've actually won. What is actually in the process. Has that number changed at all? Has that gotten any bigger?
Paul Arling: Yes, there have been some more wins filed on that. It's still -- those projects are still in development, as we said, they're being developed. They'll go through development and test with customers and then be introduced at some future date. [indiscernible] again, we won, as I said in the stated remarks, they were won actually not last year, but the year before, and they've been in development since and are targeting -- they're targeting introduction of those products this year.
Greg Burns: Okay. And then, I guess, the list of new products and customer wins you announced for the fourth quarter. Those are all net new for the fourth quarter, not just updates on that previous $80 million group of...
Paul Arling: That's right. That's correct. They are new. That's right. Yes, projects in our system go through when I mentioned 200, we have different categories. There's qualification projects, there's quotes and those -- that's progressing towards what we call won, W-O-N, won. So qualification is the first stage where you begin to do some work on the product to define it with the customer's interest. Quote means you've moved to quote. The customer has said, “I’m interested in this product, and I want you to quote on it. I want you to make final decisions with -- along with us on specs “ and “right, give us a price for the product.” Sometimes it’s competitive, sometimes it’s not because, again, when you’re doing an innovative product that’s unique to you, sometimes what they’re doing is making a decision between that new product with new features and the one they’re currently selling. So don’t think of quotes as some sort of active bidding process with other vendors. Sometimes it’s simply they’re interested in the innovation that you’ve brought them and they want you to quote it, right? And then there’s won, W-O-N. We’ve won the project. So the $80 million we talked about before was won. The $200-plus million, and the number is actually higher than that, are in the qualification and quote stage, meaning we have not won them yet, but when they get to quote stage, our rate of win is much higher than 50%.
Operator: Our next question comes from the line of Jeff Van Sinderen with B. Riley.
Jeff Van Sinderen: I guess just if we can circle back to Roku for a minute. I'm just curious what do you think the probability is that Roku might sign a license with you. It’s not too late, I guess? And then also, are there any other companies that are infringing in a similar way?
Paul Arling: Yes. Well, first of all, as far as Roku is concerned, I couldn't speak to that, that would be a decision they would have to make. Of course, along with us sitting down to agree upon that. I will only say this that from the very start of this activity many years ago now, all we want, all we've asked for, all we will ask for is they are using properties of ours and we wish them to pay a fair market-based license for those properties. We've made that clear this whole time to them and to anyone else who asks, that is what we want. That's what we wanted from the start. It's what we wanted two years ago, three years ago. It’s what we want now. And we're going to continue until that happens. Now, if they were willing to talk on a reasonable basis to do that, then we would be more than willing to sit down and do that. We're not in this to litigate or in this because, again, we've created new novel ideas in this marketplace, features and products that no one else had ever created before. We've patented them under patent law, and we expect to be paid for them. And as I said in the prepared remarks, most of the leading companies in home entertainment are utilizing these features in their products. They've respected this. They bought -- they've either licensed from us, bought chips from us, bought products from us that exhibit these features. So our view is that we simply want to be paid for what they've created. If they're willing to sit down and do that, we've been willing to do that all along.
Jeff Van Sinderen: Right.
Paul Arling: [indiscernible] there may be, but there aren't very many, only because, again, most major companies are customers of ours who are buying products or licensing from us in some way.
Jeff Van Sinderen: Okay. That's fair enough. Let's hope Roku comes to their senses and decides to sign a license. Can you speak to what you think the growth rate of the HVAC and hash business, if you kind of look at those together this year, what that growth rate might be looking at all the new projects you're taking on that will start to ramp later in the year and so forth?
Paul Arling: Yes. Well, I can't give you the exact growth rate because, again, it will depend on a lot of things, what month certain things ship in this year. I don't want to provide that sort of precise guidance. But what I will tell you is, again, it's similar to home entertainment, those many years ago. The growth rate and it was probably lower actually than it is in home automation and HVAC is a growing market, probably 8%, 10%, somewhere in that range. In Home Entertainment, back in the day, it was probably 5%. But our growth was greater. We typically grew at least 5% to 10% because we were shifting share. So if the market growth in a particular year was 3%, we might have grown 8% because, again, we were winning business. Our products were better, and we were able to convert new customers to our solutions because of it. And that's how we build a great home entertainment control business over time. We see a similar approach here. The growth rate is 8%, and our expectation would be to grow greater than that because we will be replacing products that are currently in the market, probably vended by someone else with our new advanced better product. That will be our approach, was in home entertainment, will be here. Same approach. And we've got a lot of active engagement. Steve asked this earlier, I apologize. I've forgotten. We've sold -- we already have projects sold into five of the top eight HVAC companies in the world. Obviously, Daikin is known because it's now our largest customer. They are one of the top eight, but five of the top eight are not buying from us, and we are close to closing the sixth. When we do that, we will have six of the top eight HVAC companies in the world either currently buying from us or working on projects to buy from us. And again, back to home entertainment, this is how it starts. You win a project or two. If the company then has 30 projects, your goal over the next number of years is to win all of them. You will not win all of them all at once. You do those projects, you do them well, you build a great product for them and then you win more projects. So that's our goal, and it is what we are achieving already.
Jeff Van Sinderen: Okay. So just to clarify that, it sounds like you will have six of the eight. Is there any reason you couldn't get the other two and have all eight?
Paul Arling: Correct. We can. That will be the goal. Again, as you probably have heard me say many years ago in home entertainment, I used to say this when our market share was 4%. We are pursuing our God-given right to 100% market share.
Jeff Van Sinderen: Right, okay. And just then...
Paul Arling: And then we only had 4% so people thought I was crazy. But in some areas of the world, through product innovation, not anything else, we built a better solution. We were manic about building it. We went out and did build it often with unique features that were covered under patent, but we also have the unique capability, both through data and know-how and IP to build a better product than anybody in the world. We are beginning to do the same thing here. Climate Control is a great market. The products there are good in many cases. In many cases, they're not so good. The current vendors are, again, just okay, and we think we can go to these companies and help them build, design and build better products with more features, more integration with other systems in the home and make it more integral to the smart home. That's what we're doing. It's what we're showing at places like CES and AHR trade shows and getting in front of customers and they -- but again, five of the top eight are currently engaged with us on projects or are currently buying from us. And we're hopefully closing in on the sixth. And to your point, Jeff, there's no reason why the other two wouldn't see the same thing.
Jeff Van Sinderen: Right. Well, okay. And then also, I just wanted to clarify on guidance for the year. I believe you said you expect to be profitable for the full year. And I'm just wondering your thoughts on when do you think revenues -- I mean are you thinking revenues are going to be up year-over-year in one of those particular quarters? Is that Q2, Q3 or Q4, maybe it's a second half combined? Just any thoughts on what revenues might reflect upward year-over-year and then the same for EPS, maybe they're different quarters, but just any thoughts around that?
Paul Arling: Yes. Well, obviously, if we're profitable for the year, we've exceeded earnings because -- we did not earn money in 2024. So we will have a quarter better. In fact, I believe our guidance in Q1 is actually slightly better than what our actual performance was in Q1 of '23. But we do see improvement as this year progresses. As far as -- I don't want to provide specific revenue guidance, but everyone here is focused on not only winning projects for this year and also next, because some projects when a customer wants to give you a nice sized project and they say, well, we're not shipping this until April of next year. We're obviously not going to say no to them. We're building a better future. We'd like to create also a way better '25 and '26. But we are working hard to make sure that the projects we have piled up already, plus some new projects we can put in place will get us to revenue growth in the near future. I can't tell you exactly which quarter, but we -- our goal would obviously be to make that happen this year, right, and then go into next year with a nice growth year. And that's what we're working to do. Get these projects all in, get them developed, tested, shipping and it just builds one layer of revenue. Again, same thing we did in home entertainment. We had big projects like with Comcast, but the business was really built off of one project at a time, right? And you pile them on top of each other and never lose them, which we did. We would not only win the project, but we'd win all the derivative projects after that because we, again, did a great job for these customers. We need to do the same thing here. Build the layers of revenue, it will pile up as time goes on, perform, build good quality products, products delivered on time, come to them with new innovations, you'll win the next one, and this is the way great businesses are built. And it's what we're doing. We're already doing it. We just need to keep executing across this year and, of course, into next. And we're confident in what's going to happen.
Operator: Showing no further questions at this time. I would now like to turn the conference back to Paul for closing remarks.
Paul Arling: All right. Thank you for joining us today and for your continued support of UEI. We plan to present at Sidoti’s virtual Small Cap Conference in March. We look forward to seeing you there. If you could be there. Have a great day.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.